Operator: Good day, and thank you for standing by. Welcome to the Hanesbrands Second Quarter 2024 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to T.C. Robillard, Vice President of Investor Relations. Please go ahead.
T.C. Robillard: Good day everyone, and welcome to the Hanesbrands quarterly investor conference call and webcast. We are pleased to be here today to provide an update on our progress, after the second quarter of 2024. Hopefully, everyone has had a chance to review the news release we issued earlier today. Beginning with second quarter results, we have reclassified our Global Champion business and our U.S. outlet store business to discontinued operations and we have realigned our segment reporting. This was not contemplated in our initial second quarter guidance back on May 9. Therefore, second quarter results from continuing operations are not directly comparable to our previous guidance or the current consensus estimates. In addition to our earnings release and FAQ document, we have provided two additional documents today. One is a supplemental financial packet with recast historical financials. The other is an earnings handout that provides an overview of the go-forward business, as well as a bridge from second quarter results to our prior guidance. All documents, as well as the replay of this call can be found in the Investors section of our hanes.com website. On the call today we may make forward-looking statements, either in our prepared remarks or in the associated question-and-answer session. These statements are based on current expectations or beliefs, and are subject to certain risks and uncertainties that may cause actual results to differ materially. These risks include those related to current macroeconomic conditions, consumer demand dynamics, our ability to successfully execute our strategic initiatives, including our restructuring and other action-related items, our ability to deleverage on the anticipated timeframe, and the inflationary environment. These risks also include those detailed in our various filings with the SEC, which may be found on our website as well as in our news releases. The Company does not undertake to update or revise any forward-looking statements, which speak only to the time at which they are made. Unless otherwise noted, today's references to our consolidated financial results and guidance exclude all restructuring and other action-related charges and speak to continuing operations. Additional information, including a reconciliation of these and other non-GAAP performance measures to GAAP can be found in today's news release. With me on the call today are Steve Bratspies, our Chief Executive Officer, and Scott Lewis, our Chief Financial Officer. For today's call, Steve and Scott will provide some brief remarks and then we'll open it up to your questions. I'll now turn the call over to Steve.
Stephen Bratspies: Thank you, T.C. good morning everyone, and welcome to our second quarter earnings call. Since we last spoke, we've taken strategic actions and made several decisions that will drive a new direction in future for Hanesbrands. As we announced in June, we've reached an agreement to sell our Global Champion business, and will use the $900 million of net sale proceeds to pay down debt and further delever our balance sheet. We also completed the exit of our remaining U.S. outlet store business. By exiting these lower-margin businesses, we have fundamentally strengthened the Company, creating a more focused, simplified business, one with more consistent top-line growth, higher margins, strong cash generation, a wide competitive moat, and multiple levers to unlock shareholder value over the next several years. Before I get into why I'm so confident about the go-forward business, I'll briefly touch on the quarter. In addition to all the strategic activity in the quarter, our Hanesbrands team did a tremendous job operating the business. We delivered strong second-quarter results with better-than-expected performance from our innerwear business in the U.S., strong cash conversion and continued expansion of both our gross and operating profit margins. Given that we moved certain businesses to discontinued operations, which was not contemplated in our initial second quarter guide, Page 3 of the earnings handout shows the bridge from our results to our prior guide. As you'll see on a total Company basis, sales for the quarter were at the midpoint of our guidance range, and we were above the high end of our range for gross margin, operating profit, and earnings per share. Now let me turn the discussion to our business on a go-forward basis and what Hanesbrands looks like post-divestiture. Hanesbrands is a powerhouse in basics and innerwear with a global footprint. We're relatively evenly split between men's and women's and we operate in a category that is core and essential for consumers. While the pandemic and the current macroeconomic environment have created a period of volatility, long term, we're confident this remains an attractive and stable category. We own a portfolio of iconic brands that hold the number one or number two market share position in their categories, including Hanes, Bonds, Bali and Maidenform. Our brands are synonymous with comfort, and have been trusted by consumers for generations. We have a proven global consumer-centric innovation process, that is driving market share gains, new retail space and is making our brands increasingly the choice of younger consumers. In the U.S. alone, innovation product has contributed over $0.5 billion of sales in the last 18 months, and our innovation pipeline is full, giving us visibility to new product launches, and brand programming into 2026. We have global go-to-market capabilities and distribution scale that is unmatched, allowing us to capture demand wherever the consumer wants to shop. Our products are available in every channel, including leading retailers that are winning with consumers and through our own direct-to-consumer offerings, and we have advantaged world-class manufacturing and sourcing operations. This is a powerful asset base and capability that we are already leveraging to further widen our competitive moat to extend our market share lead and generate consistent top line growth over time. In addition, we're well positioned and highly confident in further margin improvement. We have the natural recovery of our gross margin and the benefits from our existing cost-savings programs which are driving margin expansion this year. Beyond that, the divestiture of Champion and the exit of our U.S. outlet stores has created the opportunity to deliver a step function change in our overall cost structure and improve our operational efficiency. We've identified three key areas and have specific plans in place to further reduce costs. First, we're resuming our migration to a consistent, modern technology platform across the global organization, that will enable better business analytics and planning, improved forecasting and drive greater automation. Second, we're further optimizing our supply chain. With the divestiture as well as the benefits from automation and our SKU management initiatives, we're able to exit several manufacturing distribution facilities, while maintaining capacity for growth. These actions are expected to further simplify operations, reduce overhead, drive greater utilization, and improve customer service in stocks. And third, we're attacking SG&A overhead. This is all of the non-revenue generating spend within SG&A. We're creating the right cost structure for a simpler and more focused Company. The supply chain optimization and SG&A reduction actions represent the vast majority of the savings, and we expect these two initiatives to be complete by the end of 2025. We're also strengthening our balance sheet through debt paydown and a focus on driving faster inventory turns. With higher margins, lower interest expense, and working capital productivity, we're confident we are positioned to generate strong double-digit EPS growth for the next several years. We believe Hanesbrands will generate consistent top-line growth, a gross margin in the low 40% range, an operating margin of more than 15%, and more than $400 million a year of cash flow from operations. So in closing, we delivered solid second quarter results in a challenging consumer and apparel market. Through the actions we've taken to exit lower-margin businesses, we fundamentally strengthened the Company, creating a more focused, simplified business. We are now even better positioned to accelerate the flywheel of increased earnings growth and faster deleverage of the balance sheet, which provides us with multiple levers to unlock shareholder value over the next several years. And with that, I'll turn the call over to Scott.
Scott Lewis: Thanks, Steve. I want to echo your confidence on what the future holds for Hanesbrands. With a simplified and strengthened business model, I believe we're well-positioned to generate strong shareholder returns over the next several years, through a combination of double-digit earnings growth, paying down debt, and in the longer term, returning capital to shareholders. As a result of the strategic actions we have implemented, our Global Champion and our U.S. outlet store businesses have been reclassified to discontinued operations and we realigned our segment reporting. For a recap of historical financials, please see the supplemental financial packet as posted on our Investor Relations website. For today's call, I'll focus on continuing operations. For additional details on the quarter's results and our guidance, I'll point you to our news release, second-quarter earnings handout, and FAQ document. Overall, we delivered strong second-quarter results. We saw sequential improvement in top-line trends. Operating profit increased 46% over prior year, as we returned to double-digit operating margins and interest expense decreased due to lower levels of debt, all of which drove a 650% increase in earnings per share. For the quarter, net sales were $995 million. This represents a decrease of 4% versus prior year, with 150 basis points coming from FX headwinds and 130 basis points from last year's U.S. Hosiery divestiture. On an organic constant currency basis, net sales decreased 1% in the quarter. Looking at our segments in the U.S. were approximately 90% of the businesses is innerwear. Sales decreased 1% compared to last year, which exceeded our expectations. While we continue to face a challenging environment with consumer spending headwinds and high inventory management of select retailers, we're seeing that our strategy is working and we're continuing to win in the marketplace. In the quarter, we gained another 40 basis points of market share in innerwear, as increased marketing investments and product innovation are driving point-of-sale trends that continue to outperform the market. With respect to innovation, we saw strong growth in our Hanes Originals and Maidenform M product lines. And we launched Bali Breathe, which is our biggest innovation behind the brand in over a decade. In our international business, sales increased 2% over prior year on a constant currency basis. Our Australia business, which represents roughly two-thirds of the segment, decreased at a mid-single-digit rate as lingering high interest rates continue to weigh on consumer spending. But we're not standing still in Australia. Despite the macroeconomic headwinds and the consumer's focus on value, we are continuing to find solutions to drive brand relevance and consumer engagement. For example, we launched our bonds everyday value product, which is an extension of one of our U.S. products. This addressed a gap in our assortment that aligns with the current buying behavior of the Australian consumer, while maintaining a strong margin profile. Touching briefly on our other touching briefly on our other segment. This segment historically held our U.S. Hosiery business, as well as sales from a transition service agreement between our supply chain and our previously owned European innerwear business. All of the year-over-year sales decrease in the quarter was due to the divestiture of our Hosiery business and the completion of the supply chain service agreement. Turning to margins. We saw significant year-over-year improvement in both our gross and operating margins in the quarter, while simultaneously increasing brand marketing investments by 125 basis points. For the quarter, gross margin increased 525 basis points to 39.8%. The operating margin increased 430 basis points to 12.7%. The margin improvement was driven by lower input costs, as we have moved past the impact from peak inflation, as well as the benefits from our existing cost savings initiatives. This allowed us to increase brand marketing investments to support growth-related initiatives, which is contributing to our market share gains. A good example that underscores the success of our financial strategy is the return on our marketing spend. I was pleased to see the investments we made behind our Hanesbrands that one of our largest customers drove nearly 400 basis points of share gains with younger consumers. With our visibility to input costs and our existing cost savings programs, we're confident that we can continue to expand our gross and operating margins in the second half of the year. And with the incremental cost savings initiatives that Steve highlighted, we see a long runway for significant margin expansion in 2025 and beyond. With respect to EPS, our focus on paying down debt yielded more than $8 million of lower interest expense in the quarter, as compared to last year. The lower interest expense coupled with higher profit margins drove EPS of $0.15, up 650% to $0.02 last year. And now turning to guidance. All of my comments will refer to adjusted results from continuing operations, and will be based on the midpoint of our guidance range. I would like to point out that with a reclassification of Global Champion and U.S. outlet store businesses to discontinued operations, our current guidance is not comparable to our prior guidance given on May 9. That said, in comparing our current full year outlook on an apples-to-apples basis, our sales outlook is unchanged. However, we increased our operating profit and EPS outlook, as we continue to outperform on delivering cost savings. Looking at sales, we continue to expect sequential improvement in the year-over-year sales trends. On an organic, constant currency basis, we expect net sales to decrease 2% for the full year and 1% for the third quarter. Turning to operating profit. As we've highlighted all year, we have strong visibility to input cost and cost savings on our balance sheet through the rest of the year and into early next year. For the full year, we expect operating profit to increase 36% and operating margin to expand 330 basis points to 11.2%. For the third quarter, we expect operating profit to increase 34% and operating margin to expand 330 basis points to 12%. But our input cost, visibility, and the new cost savings programs we just put in place, we are well positioned for continued expansion of both our gross and operating margins next year. Looking at EPS. For the full year, we expect EPS to increase 670% to $0.34. For the third quarter, we expect EPS to increase 650% to $0.11. With our commitment to pay down debt and our outlook for continued margin improvement, we believe we are well positioned for strong double-digit EPS growth next year. And with respect to leverage, with the proceeds from the announced Champion sale and internal cash generation, we expect to pay down an incremental $1 billion of debt in the second half of this year. We expect our year-end leverage ratio to decline approximately 1.5 turns year-over-year and to end 2025 at approximately three times on a net debt to adjusted EBITDA basis. So in closing, we delivered solid second quarter results with sequential improvement in our year-over-year sales trends, strong growth in profit and earnings per share, and lower debt. These results underscore our strategic direction and operational strength. Looking forward, Hanesbrands is taking a new direction. Our simplified, strengthened business model we are confident in our ability to generate strong shareholder returns in the next several years through a combination of double-digit earnings growth and continued debt reduction. With that I'll turn the call over to T.C.
T.C. Robillard: Thanks, Scott. That concludes our prepared remarks. We'll now begin taking your questions and we'll continue as time allows. I'll turn the call back over to the operator to begin the question-and-answer session. Operator?
Operator: [Operator Instructions] Our first question will come from the line of Jay Sole with UBS.
Jay Sole: Super. Thank you so much. Steve, I have a few questions. My first question is about how do you feel about the portfolio today after the sale of Champion business. Are there any parts of the business that maybe you're considering doing something with or do you feel like the portfolio today is the go-forward portfolio you expect to have over the next few years. And then, Scott, for you just, you mentioned that the EPS guidance on an apples-to-apples basis went up. Can you maybe give us -- maybe dimensionalize that a little bit, give us an idea of how much it would have went up and what the drivers were? And then lastly, do you have a new target net debt to EBITDA ratio where you want the business to be over the next couple of years? Thank you so much.
Stephen Bratspies: Sure. Good morning, Jay. Thanks for the questions. In terms of the portfolio, the shorter answer is yes. I really like the portfolio that we have today on a go-forward basis. When you look at the brands that we have, the markets that we're in, I think we're in the right places. There's opportunity to grow in those markets. And the power brands that we have Hanes, Bonds, Bali, Maidenform, they're all top tier brands in their segments, number one, number two position. And I think they all represent growth opportunities, both in their core segments and opportunities to expand beyond. So we have nothing planned beyond what we've just done. We like the portfolio, we like the growth opportunities and importantly, the margin opportunities that come along with it.
Scott Lewis: Yes. Good morning, Jay, and thanks for your questions. On the full year guide, it's a great, great question. And let me first say. we're really pleased with Q2 results, right? We delivered strong results in a tough environment, and we feel good about the second half. As you think about the full year outlook and we talked about this in our earlier remarks with the reclassification of Champion in the U.S. stores to discontinuing operations, our prior full-year guidance that is based on total Company is not comparable when you look at our updated guidance, that's based on continuing operations. And let me walk you through that and kind of walk you through how that reconciles and how we think about the full year now. So for sales, we're essentially holding sales flat to our prior guide, no change there. If you consider our midpoint of our guide for sales was $5.41 billion, we had about $1.8 billion of sales between Champion and the U.S. stores. So when you back that out, you'd pretty much arrive right at the midpoint of our, our current guide of $3.61 billion. For operating profit and EPS, we've actually raised our full year outlook. Our previous guide, the midpoint was $510 million, and it included around $120 million of operating profit for Champion and the U.S. stores. So with the midpoint and you factor that in, you arrive about $390 million backing out that profit. Our updated guide for op profit is $405 million. And so we're essentially flowing through the Q2 deep and factoring in some incremental upside in the second half. So then you also asked about leverage, and we also feel really good about that continued focus on debt reduction, we talked about in the earlier remarks. In the back half, we're going to pay down $1 billion of debt. And when you look at that, by the end of the year, we're going to be down a turn and a half year over year by the end of this year. And then looking forward, now we're not guiding for '25. But as you think about next year, the margin expansion that we're expecting, the continued debt pay down, we expect to end next year around about three times on a leverage basis.
Stephen Bratspies: And Jay, just one more thing, kind of beyond 2025. You know, we said previously that our range guide is two to three times. And, you know, we've gotten asked the questions previously, you know, is that too high? And what I would say is, you know, we're going to get back to the two to three times and then we'll step back and evaluate, is that the right measure going forward. I think you can probably anticipate, it'd be towards the lower end of two to three times, if not lower going forward. But we'll get back into that range and then we will evaluate and talk about where we're going to be.
Jay Sole: Fantastic. Very helpful. Thank you so much.
Scott Lewis: Thank you.
Operator: Our next question will come from the line of Ike Boruchow with Wells Fargo.
Ike Boruchow: Hi, everyone. Good morning. I guess just two questions from me. We have the guidance for the gross margins, but sounds like you guys have momentum on the cost side into next year. So the gross margin that you guys ended this year at, I guess slightly above 40%, I think is your guide. Where do you kind of see this new -- with the new portfolio or the adjusted portfolio? Where is the gross margin structure likely to head? And then just from a growth rate, for lack of a better word, the algorithm of this business, how do you see growth? How should we be planning this portfolio to grow relative to the one that you had just recently?
Stephen Bratspies: Sure. Good morning, Ike. Thanks for the questions. In terms of gross margin, I think, again, we're not officially guiding for next year, but as we said, we think this business over time will operate in the low 40% range, so there's continued growth to be had there. And that'll come from some really strong cost actions that we have been taking and will continue to take. Obviously, there's still some natural recovery of our gross margin based on input costs, that we will continue to benefit from. We've also been very focused on cost savings initiatives that continue to perform for us. And with the inflection point of the divestiture, it creates opportunity to go further and for us to look at the business differently. And we have some new savings programs that we're putting in. Some of them are powered by the technology platforms that we're going to be putting in, and we slowed down that process. We're re- energizing that. We have opportunities to get better on our analytics, our forecasting, more automation in our business that continue to help us drive costs. Our supply chain -- we're going to take some actions, and that's some from the changing the portfolio, but it's also all the hard work we've been doing on inventory management. Our SKU program enables us to move capacity around and take some facilities offline, but still have room to grow. So we're attacking cost on all fronts that are going to continue to help us grow our gross margin, and our op margin over time as we go forward. In terms of growth, I think the way you should think about this business is a more stable, more consistent growth business as we go forward. And obviously, today, as we sit here, huge headwinds out there. It's a tough business to operate in. But we see this business growing in the low single digits as we go forward. We think we have lots of different growth opportunities that we can go after, including just our core business and getting better at that business. And ultimately, when we -- when we have that level of growth, we're still going to have our operating profit growing faster than our sales. We think our profits grow at double digits and then EPS will grow faster than our profit at double digits. So there's a flywheel here that we continue to generate. The P&L is going to continue to generate cash. We're going to continue to invest in the business. We're going to continue to be able to pay down debt so our interest costs go down. So we like the shape of the P&L as we go forward and what that looks like. What I would tell you, and I think it's really important with all the challenges in the economy right now, with the consumer, just the broader markets, the margin improvement that we're forecasting is going to happen whether the consumer turns around or not. And I think it's a really important point for us now. We've been talking the last couple of quarters around margin improvement, and you're going to continue to see margin improvement from us. You've seen that the last couple of quarters, you're going to see that in the quarters going forward. So when we start to talk about gross margin improvement, op profit improvement, you're -- is this not a hockey stick idea? This is quarter-over-quarter, you're going to see improvement on the margin line of things.
Ike Boruchow: Got it. That's helpful, Steve. And then if I could ask one more. Just on the cotton specifically the AUC that you guys have on that, there's been a few companies that have been giving a little bit more detail on cotton costs and the flow through. I think one Company yesterday actually said they expect a sizable benefit, but they kind of explained it as half of that benefit flows through this year and half of the benefit coming next year. Can you kind of comment on that? Does that kind of mirror what you're expecting in terms of how we should expect the benefits from those costs, from that specific cost item to flow through?
Stephen Bratspies: Yes, sure. Happy to talk about it. When you think about cotton and you think about how it flows through for us, we're -- as you look in to next year, we're call it roughly 60% fixed on cotton going into next year. So, you know, cotton is relatively low right now. So we're estimating that would definitely be a tailwind for us as we go into next year. So if, you know, some of the other commodities stay all flat, we think we're going to have some cost tailwinds as we go forward based on cotton. So we're feeling pretty good about our position right now.
Ike Boruchow: Great. Thank you.
Stephen Bratspies: Thank you.
Operator: Our next question will come from the line of Paul Lejuez with Citi.
Brandon Cheatham: Hi, everyone, this is Brandon Cheatham for Paul. I was hoping, could you just size the opportunity that you have available on the SG&A line item or give us some direction there. As we think about where you all end up by the end of this year, like, how far along are you in the progression of cutting costs there, as we think about 2025 and beyond?
Stephen Bratspies: Yes, when you think about SG&A Brandon, there certainly is opportunity, and it comes in different fronts. One, there's just, we can continue to get better in SG&A there's no doubt about that. But it's also tied to the transaction and how we look at the business in total. There's costs that on a company our size, they're kind of in between different businesses. And we are tackling these costs right now. And there is cost that is going to be coming out a large chunk of cost in the back half of '24. But it's also going to continue in by the first half of '25. That's going to be a tailwind for us in the margin all the way through 2026. So we've got very clear actions. We're starting those actions. We've got very good focus on where the cost is, and that's on a global basis.
Scott Lewis: Yes. And just one point to add to that, you know, we've clearly talked about the cost savings, right? We're really laser-focused on that. But one thing to consider, as you look at our SG&A this year, we are already investing in brands, right? So when you think about our SG&A structure, we're taking cost out, that we have an incremental layer of investments from brands. We're already at 5% of sales this year for our brand investments. So we've already got that in the P&L this year. And then as you think about going forward, as Steve mentioned, cost savings is going to be able to drive SG&A down further.
Stephen Bratspies: Yes. So whether it's headcount, whether it's reducing tech applications, consolidating other vendor headcount, we're attacking every aspect of it. And again, you'll start to see that in the back half of this year and it'll flow through into next year.
Brandon Cheatham: Got it. And then if I could follow up, I was just wondering about inventory levels that your retail partner, how a POS is trending? You know, sounds like you guys are continuing to take share. You know, are you gaining shelf space with your retail partners? Anything that you can share there?
Stephen Bratspies: Sure. The short answer is, yes. We are continuing to gain shelf space, both on a permanent basis and on a promotional basis. So when you think about promotions for back-to-school holiday share of displays on the floor, we've done very well from a share perspective at back-to-school, and proud of the team and how the selling actions happen there. Retailers are being cautious on inventory. There's no doubt about that, as is everybody. So we think that we're in good shape. POS is tracking relatively along with shipments, or say shipments are tracking along with POS. But the important thing is we continue to take share and we continue to outperform the market across all our brands, across all the categories and segments that we operate in. And we see that continuing as we go forward.
Brandon Cheatham: Got it. Appreciate it. Thank you, and good luck.
Stephen Bratspies: Thanks, Brandon.
Operator: Our next question will come from the line of David Swartz with Morningstar.
David Swartz: Yes, thanks for taking my question. Following up on that last answer, can you maybe talk about why it seems like your basics business has been depressed for a while? And when you think the sales might bounce back a little bit and return to growth and when in the past, when Hanes has faced a market with kind of depressed demand for innerwear, you know what it is looked like when the demand has returned? Thanks.
Stephen Bratspies: Sure. Clearly the category has been challenged for a while. It's interesting when you look at the category over time. Historically, this has been a roughly 1% growth category. And if you look at the business over the last three years, while it has certainly been highly volatile, it's still averaged around 1% if the issue is that 2021 was so high. So that's extended the purchase cycle a bit. We anticipate in the long-term that the category will return to that 1% roughly growth rate as we go forward. When exactly that's going to happen, I'm not sure. I can't give you a great answer on that. But the good news is we are seeing POS slowly getting better which is encouraging. And we're also seeing, you know, our consumers and retailers are still responding to newness, with our innovation continues to work, our media is working, we continue to gain space. Retailers are taking in incremental holiday events. So I think people still believe in this category and, you know, we're leaning in as hard as we can to drive it. But I think it's going to take some time before it rebounds. Just like the rest of apparel, things are challenging. So I think it'll take a couple of quarters for this category to normalize. But in the meantime, we are very confident that we're going to continue to take share we're going to continue to lean in. And we're going to continue to act like the category brand leaders that we are.
David Swartz: Thank you. And you've announced the closure of the outlet stores. Historically, has that channel been used to clear excess inventory, and why is it no longer a part of the business?
Stephen Bratspies: Sure. It has not really been used to clear excess inventory. There's a little bit that goes through there, but the -- taking those out of our portfolio is not going to create A, how do we clear inventory problem for us going forward. So I'm not worried about that at all. In terms of the overall, we've been looking at this for some time and quite frankly, we've been reducing the number of stores the last couple of years. So we've taken probably 20% -- 10%, 20% of our stores out over the last couple of years anyway. But the way I look at it domestically, we're predominantly a wholesaler. That's what we do really, really well. These stores do not have a lot of volume. They're not profitable. And as you go forward without Champion as part of our portfolio, that takes an additional part of the higher AUR product and profitability out of the network, and that kind of becomes a tipping point. They were already very profit-challenged and they become significantly profit-challenged with that Champion. So we thought it was the right time to make this move and to focus on the parts of the business where we're really strong.
Operator: Our next question will come from the line of Tom Nikic with Wedbush.
Tom Nikic: Hi, good morning, guys. Thanks for taking my question. I wanted to follow up on the questions earlier about the top-line growth. Should we think of that the low single digits that you're looking to generate, should we think of that as being driven by shelf space gains, or are there also ASP opportunities as you innovate and introduce new products?
Stephen Bratspies: Sure. I think you should think of it as driven by a number of things. Do I think we can continue to just take shelf space and out operate the competition from a service perspective? Yes, we expect to continue to do that. We are going to continue to innovate. I've been really proud of the team and the innovation that we've delivered over the last couple of years. We have a new innovation process that operates globally and products like Hanes Originals and SuperSoft, Maidenform M have all come from this, and they're working really well and we're doing it globally. We're moving product back and forth between the U.S. and Australia, and it's making a difference in our business here, it's [technical difficulty]. And you're going to see a very robust pipeline of innovation coming from us going forward. We have visibility after 2026 right now, of our big launches. The other thing you're going to see is us expanding our portfolio. We have great brands. So where can we take these brands? What adjacent categories can we play in that we're not in today? You know, one small example of that is what we're doing in medical scrubs right now. We have a early but nice building business of Hanes and the medical scrubs business. The Hanesbrands can play in a lot of different places and we're going to be smart about adjacent categories that we can go into that are going to be highly incremental. There's also growth globally. We have -- I think we're in great markets, but some of them maybe are more underdeveloped than they should be. So we're going to attack growth from multiple vectors and we think there's a lot of different areas that can help us get there.
Tom Nikic: That's great. And if I can follow up with one more just -- should we think about, you know, there being any meaningful difference between the growth rate go-forward domestically and international? Thanks.
Stephen Bratspies: You know, I'm not going to get into what 2025 guide looks like by segment and do that. I would tell you I'm confident there's growth around the globe for us. The consumers certainly challenge, you know, our Australia business, which is an important business for us, that, that economy is really struggling right there right now. Do I think that's going to rebound and continue to be a good growth business for us? Yes, I do. So I think it's going to be balanced around the globe. Some years will probably be higher in one market than others, but we're thinking about the portfolio we have right now, the footprint we have right now, as able to drive growth pretty consistently in each location.
Operator: Our next question will come from the line of Paul Kearney with Barclays.
Paul Kearney: Hi, good morning. Thanks for taking my question. I was wondering if you can comment on what you're seeing in the promotional environment out there and whether you're seeing pricing pressures. And then as we think about going forward, should we think of that return to the 1% growth as price and volume mix, or how should we think about the mix of growth going forward in your different regions? Thanks.
Stephen Bratspies: Sure. Clearly the consumer is under pressure right now. And what we're seeing is consumers are buying around events, so they are looking for promotional pricing right now. Nothing though that's outside of the scope of our guide and outside of the scope of our plans and our P&L. But we are being smart about how we go to market for key events like back to school, what we're going to do at holiday to make sure that we're meeting the needs of consumers. But it's not a overly pressure packed promotional environment right now. It's more everyone's being smart about how we can drive volume, and how we can meet consumer needs as we go forward. In terms of growth, as I was talking about a couple of minutes ago, I think there's growth across the board in this business. We can continue to take share and take, you know, space. We're going to out innovate the competition. We've got great global footprint and brands. We're going to expand into new adjacent categories and make our brands work harder for us. So we think there's a broad growth opportunity for us. And the key for us is the measure that we're going to hold ourselves to, certainly in the short term and probably in the long term as we're going to grow twice the rate of the category. So that's what a category leader should do. That's how we're going to take share. So when the category gets back to that historical 1% growth, you should see us growing at twice the rate of the category.
Operator: Our last question today will come from the line of William Reuter with Bank of America.
William Reuter: Good morning. I have two. So the first, you gave the guidance about $400 million of operating profit. You clearly have a lot of productivity initiatives, some of which are technology-related. How should we think about your CapEx going forward? And I guess as you -- will it be elevated over the next year or two based upon some of these, it sounds like potentially cost-saving projects that are kind of special and opportunistic.
Scott Lewis: Yes. Good morning. Thanks for your question. Let me kind of take that from a couple of different angles. So, cash flow, you mentioned the $400 million and let me just kind of speak about cash flow in general. As you think about 2024, our guide is $200 million, and you've got some, the moving parts here, you have around $100 million of cash charges for the transaction cost as well as restructuring. So as you look forward, I think a good baseline to think about our operating cash flow going forward is around $300 million. And already talked about before, you got to think about that as a good baseline when you layer in the margin expansion from the cost savings. You got lower interest from debt pay down. It's going to grow from there. You're going to see, and we expect to be in the mid-$300 million operating cash flow range for next year, and we're going to be able to grow from there. You saw what we said, we have a good degree of confidence, high degree of confidence that we're going to have $400 million plus of operating cash flow going forward. As you think about CapEx, it's going to be up a little bit. You're going to have the technology that we talked about earlier. We feel really good about being able to, like we talked about, we're going to invest in the business and we can easily, with that cash flow support, the CapEx levels we need going forward.
William Reuter: All right. That's helpful. And then there are many categories where we're seeing some lower priced products that are coming from Asia, often unbranded, and they're going direct-to-consumer on e-commerce platforms. Are you seeing any of that increased competition and is it impacting your categories at all?
Stephen Bratspies: Yes, we don't think it's impacting us. We are seeing it. We watch it closely. And I know exactly what you're talking about. Our brand is remaining really strong and continue to gain share in all the channels that we're participating in. So we compete broadly with those products, and consumers continue to choose our brand. And I think that's the media that is working. The innovation that we're bringing to market is working. So we're competing in our game and how we compete, and that model is working for us right now.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to T.C. Robillard for closing remarks.
T.C. Robillard: We'd like to thank everyone for attending our call today, and we look forward to speaking with you soon. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.